Chuya Aoki: Thank you very much for participating in the Dentsu Group Inc. Online 2021 First Quarter Earnings Call. I am Chuya Aoki from Dentsu Group's IR office. This call is held on Zoom webinar. Please be aware that the call is being recorded. This call is simultaneously held in Japanese and English. If you are participating online, you can choose the language you listen to. Please select the language from the interpretation key displayed on your Zoom screen as shown. The language of using select from our Japanese and English. Please make sure the original voice is always on. If you mute the original voice, the sound could be disconnected. So people joining from the telephone line, you can listen to the original voice only. I hope you could understand. Next, I would like to guide you through the materials that we are using today. Today's presentations are provided on our website named fiscal year 2021 Q1 earnings call presentation materials. For participants via telephone line, please make sure these documents are at your hand. Joining me today are from Tokyo, Toshihiro Yamamoto, CEO Dentsu Group; Hiroshi Igarashi, CEO, Dentsu Japan Network; Yushin Soga, CFO Dentsu Group; from the U.S., Wendy Clark, CEO, Dentsu International; from the UK, Nick Priday, CFO Dentsu International. These are the speakers today. Following this introduction, we will hear the Q1 fiscal year 2021 review and highlights from Toshihiro Yamamoto, after his presentation Yushin Soga will continue to explain the Q1 FY 2021 financial update and then Toshihiro will explain the strategic update. After that, we will invite you to ask questions. The call is scheduled to end at 8 p.m. Japan time, but maybe extended by around 15 minutes if needed. Mr. Yamamoto, please go ahead.
Toshihiro Yamamoto: Thank you very much. This is Toshihiro Yamamoto, President and CEO of Dentsu Group. Thank you very much for participating in our Q1 2021 earnings call. Please turn to Page 2 of the material. The first quarter results, the group record organic revenue declined as expected, with the group largely reporting against pre-COVID competitors. Initially, we saw an improvement throughout the quarter as clients spend and confidence continues to rise. The group reported positive organic growth of 2.5% in March giving us confidence as we enter Q2. Our quarterly margin was 20.2%, a 400 basis points increase year-on-year with increases by both DJN and DI. As we continue to deliver against our margin commitments through cost control. These results provide further evidence of our commitment to achieve our target of ¥75 billion savings by 2022. Progress against the comprehensive review we announced in August last year continues with a number of actions announced in the quarter including the sale of two property assets in Japan and further reduction in our investment in securities. Page 3 please. Before handing over to Yushin Soga, I want to talk through our client's successes and industry recognition for the first quarter. The first quarter saw a positive start for the group in terms of new business wins at DJN, the Japan Network. We launched a further partnership following the announcement of Toyota partnership last quarter. We are deepening the relationship with our clients by seconding or tell us decline offices or through the establishment of joint ventures. These clients are from Telecom, financial, food, mobility and urban development industries. Although I cannot mention the names of those companies at this point. And as an integrated growthpartner to our clients, we will contribute to their top line growth as well as our own. At Dentsu International, we announced a number of new client wins. GlaxoSmithKline selected 360I for creative and digital agency of record duty for a portfolio of their consumer brands in the U.S. Linkedin chose iProspect in the U.S.as its paid media partner. Hilton, BNB Paribas and Kroger are additional clients we welcome to our roster. The quarter also saw us expand our existing relationships with a number of RT clients, including P&G and Kraft Heinz. Our media net new businesses wins in Dentsu International for the first quarter was $800 million with the pipeline for the rest of the year very strong. The media pipeline for Dentsu International is currently the highest we have ever seen at $10 billion, with over 80% of those opportunities' offensive. It is and will continue to be a very busy year for our pitch teams. Dentsu International also launched Dentsu Health, formally bringing together our 2000 health marketing experts across 85 markets to combine our specialists in health, wellness and pharmaceutical marketing. Our Industry recognition continues. Merkle was recognized as a leader in the Forrester Wave for loyalty solutions in Q2, receiving the highest possible score against all 13 criteria. Isobar was named a leader in Gartner 2020 Magic Quadrant for Global Marketing Agencies for seven consecutive years. Dentsu Group was named the most creative network at the Spikes Asia awards. Finally, The Drum announced Dentsu Tokyo topped worldwide ad agencies rankings at the World Creative Rankings 2021. The breadth of these awards demonstrate the wide range of capabilities the group offers. And I would like to offer my thanks and many congratulations to all our teams involved. With our continued focus on sustainability at the heart of our business, we have a number of announcements. Wendy Clark, CEO of Dentsu International became a member of the World Economic Forum's Alliance of CEO Climate Leaders. He became founding members of the WEF partnering for Racial Justice Initiative. We also launched the pilot of DIMPACT a pioneering tool to manage the media industry's digital carbon footprint. Other corporates involved include Netflix, BT, the BBC and Sky, and we became a signatory to the Biden letter calling for the highest level of climate ambition as part of the We Mean Business coalition. I would now like to hand over to Soga-san, who will talk us through the financials for the quarter.
Yushin Soga: Thank you, Yamamoto. I would now like to take you through the financial results for Q1 2021. Next page, please. The group reported organic revenue decline of 2.4% for the first quarter. The negative organic revenue decline in January and February was due to the pre-COVID comparators in 2020. However, client confidence and spend increased throughout the quarter with March showing positive organic growth of plus 2.5% for the group. In Japan, we saw recovery in demand in the TV market and the digital advertising and digital solutions business. Telecom and technology clients were very active throughout the quarter. Demand for digital and other media was also strong in our International business. The group expects to continue to benefit from the post-pandemic recovery throughout 2021. Underlying operating profit and operating margin improved significantly benefiting from cost management through daily business operations and from the structurally lowered cost base due to the accelerated transformation plan announced last year. Net profit was down year-on-year, mainly due to the earn-out revaluation, resulting from the improving outlook projection for our acquisitions that are still under earn-out. Total revenue and organic growth by region, the regional organic growth performance reflects the different speed of impact of the pandemic across the globe with earlier recovery we observed across japan and APAC in Q1. Japan, which represent 46% of the group revenues in the first quarter maintained the same level of revenue less cost of sales as the previous year, with organic growth rate of minus 0.9%. The pace of recovery increased every month with an organic growth rate of plus 5.2% for March. The recovery reflects the improvement of TV spot ad at Dentsu Inc. and the strong performance of our digital assets across Dentsu Japan Network. In the Americas, which reflects 24% of group revenue, organic revenue decline was 4.1% for the quarter, given the stronger comparable from Q1 2020, primarily driven by a stellar performance from Merkle in the U.S. market. EMEA, which reflects 21% of group revenues saw organic revenue decline of 2.9%. Germany and Switzerland posted positive organic growth for the quarter, but many markets still face restrictions due to the pandemic. APAC, which reflects 9% of group revenue, saw organic revenue decline of 3.1%, with positive growth for the quarter recorded in India, Indonesia, Singapore and Taiwan. Next page, please. From the group basis, the organic growth rate has been on an uptrend since the second quarter of last year, and we expect to see a continued improving trend as we start to lap the COVID related comparators in the second quarter. Moving to the performance of Main DG and group companies, Dentsu Inc. experienced a reactionary decline in the and promotional domain, which was strong in Q1 2020 before the impact of the COVID-19 crisis. However, Dentsu Inc. reported organic decline of just minus 1.9% due to the recovery of TV spot advertising through the second half of the quarter. The pitch environment remains very active, and our win rate has improved year-on-year. The revenue less cost of sales of Dentsu Digital, ISID and CARTA HOLDINGS increased supported by growth in both digital advertising and digital solutions. It is to be highlighted that Dentsu Digital and CARTA were able to show double-digit growth, capturing demand from telecommunications and other clients. ISID faced strong comparable from Q1 2020, yet still reported over 6% organic growth in the quarter. As a result, CT&T ratio, which is one of the KPIs the medium-term management plan was 24.0% for Japan, an increase of 210 basis points year-on-year. Dentsu Live, which provides events and Dentsu Tec Group which has strength in marketing promotions, reported double-digit decline due to the continued impact of the COVID-19 crisis. These areas underlying operating profit showed significant growth, and operating margin improved significantly as a result of the FS region's operating cost and a shift towards the high-margin solutions business. However, operating costs are expected to rise as we proceed through the year. The next slide explains the performance of Dentsu International. The pre-COVID comparators impacted the first quarter performance across DI Group and resulted in negative organic growth. The media service line benefited from the post-pandemic recovery with the U.S. Media business recording a strong performance in Q1 FY 2021, up mid- single digit, benefiting from a combination of new client wins in fiscal year 2020, scope expansion from existing clients and an overall improvement in client spend. The creative service line showed negative growth due to a reduction in revenue associated with our Events business and planned losses in fiscal year 2020 in the U.S. and APAC. CXM service line showed negative organic growth, reflecting the high hurdles from Merkle's double-digit percentage growth in the U.S. market in the first quarter of last year. CXM is expected to return to growth in Q1 and record positive growth for the full year. Customer transformation and technology accounted for 33.5% of the total revenue less cost of sales, up from the previous year. Underlying operating profit increased 49.9% due to lower base costs. Operating margin improved by 330 basis points. This is on a constant current basis, the 360-basis points improvement. The operating margin comparable become more challenging from the second quarter onwards, but Dentsu International still expects to deliver margin improvements on a year-on-year basis. It is the first time for the international business operation margins have exceed 10% in Q1 since the establishment Dentsu Aegis Network. This slide covers the movement of revenue less cost of sales. After the negative impact of the COVID-19 increase, crisis materializing last year, we have continued to put M&A activities on hold. As a result, the effect from M&A activities are limited. Organic growth was negative group-wide due to the effect of COVID-19 crisis, and revenue less cost of sales decreased by ¥4.6 billion from ¥227.1 billion in the same period previous year, to ¥222.4 billion. Next, this slide shows the movement of the underlying operating profit at a year-on-year basis. Although DGN's revenue less cost of sales was the same level as the same quarter last year, and DI'S revenue less cost of sales was negative, the reduction in operating expenses for both segments contributed to an increase in underlying operating profit of approximately ¥7.76 billion. Next, reconciliation of operating profit from underlying to statutory. Compared with the same quarter last year, underlying operating profit was ¥7.7 billion plus, while adjusted items totaled minus the ¥3.6 billion, resulting in statutory operating profit of plus ¥4.1 billion. One of the main adjustments were amortization of purchased intangible assets at minus ¥7.4 billion, which was a similar level of impact as last year. Next is one-off items. Previously announced business transformation costs amounted to approximately ¥7 billion, which is in line with the plan announced last year. Impairment losses include impairment losses on tangible and intangible assets and goodwill of group companies in Japan. The next slide is on the reconciliation from underlying to net profit. Adjustments in total of ¥22.3 billion was recorded, including adjustments made to the operating profit explained in the previous slide, the largest adjustments was gain and loss on revaluation of earn-out liabilities and M&A-related put option liabilities of approximately ¥6.8 billion. This was due to an increase in the corporate value of subsidiaries that are expected to improve as a result of reviewing the future performance of overseas subsidiaries, in line with the improvement in economic conditions. As a result, statutory net profit for the quarter was approximately ¥4.9 billion against underlying net profit, which was approximately ¥27.2 billion. This slide shows cash flow movement for the quarter. Cash out on business transformation cost spend is ¥24.1 billion. Working capital improved by about ¥82.3 billion year-on-year, although it normally has negative impact in the first quarter due to seasonality. Improvements in overseas operations contributed significantly. Together with -- and regarding other cash flows from operating activities, it is to be noted that income taxes paid to increase year-on-year, mainly due to extraordinary income from the sale of Recruit Holdings shares, which was announced last year. Now summary, we expect to continue to benefit from the post-pandemic recovery in 2021 as well as the structural growth in customer transformation and technology. As we mentioned, the group has had better-than-expected start of the year, and we are confident that we have over the fiscal year, positive organic growth and broadly flat margin from 2020, FY as I commented in February. And I am pleased to report the execution of business transformation is showing good progress, and we expect to deliver full year forecast in August. We still expect to achieve the group-wide cost reduction of ¥50 billion in 2021, an annualized reduction of ¥75 billion from 2022 onwards. The transmission will accelerate. Thank you. I will now hand over the microphone to Yamamoto-san. Back to you, Yamamoto.
Toshihiro Yamamoto: T I'll now give an update against our strategy. And this is Yamamoto speaking. And please turn to page 17. The pace of transformation within the group continues at speed. As a reminder, we launched the comprehensive review in August last year. And continue to execute against the clear objectives we set ourselves. On simplification. DJN, Dentsu Japan Network has announced the mergers of Dentsu Digital and Dentsu Isobar as well as Dentsu Direct Marketing and Dentsu search & link link to strengthen the capabilities of CX and DX. Dentsu International, the brand optimization continues with the successful launch of iProspect after the merger with Vizeum, the largest agency merger we have planned. The rationalization of 160 to 6 brands continues ahead of schedule with over 50 brands already consolidated. This process is mostly small and specialized brands being integrated into leadership brands. Therefore, there is a low-risk of disruption across the group. This is because this process has been a long time in planning. Over the past two years, we have created a master service set. The firmwide agreement determines which capabilities are within each service line, ensuring no duplication of services and no competition between our own agencies, a model many of our peers still have. This allows us to optimize the brand portfolio, integrate more effectively and collaborate across the group. The groundwork has been done for improved connectivity among the service sets of three service lines and ultimately will result in a truly simplified and integrated organization. Lowering operating expenses. We remain committed to the ¥75 billion cost saving target we announced to support our future margin delivery. We expect to deliver around ¥50 billion cost saving for this year, as we previously announced. At DJN, we are beginning to see the cost impact from the transformation announced last year. SBI are over 50 property leases have been renegotiated and well over 50% of our targeted cost savings planned for 2021 have already been achieved. Three, the review of our non-trading assets continues to improve our balance sheet efficiency. In Q1 we announced the sale of two property assets in Tokyo, generating a gain on sales of fixed assets of around ¥30 billion. And we announced a further reduction in our investment in securities with the sale of our Macromill Shares. The review of the headquarters buildings in Shiodome continues. All of the previous three objectives will contribute towards our final objective of improving shareholder value. Number 4. Simplification of our business will drive top line. Margin is improving through lowering our costs and the balance sheet review gives us the flexibility to invest for growth whilst balancing that need with improving shareholder returns. Page 18, please. As we committed to at the FY '20 results in February, we see Customer Transformation & Technology, CT&T rising to 50% of the group's revenues over time. At the end of the first quarter, Customer Transformation & Technology had reached 29% of group revenues, with 24% at DJN, and 33% at Dentsu International. As a reminder, the major brands that contribute to these revenues are Merkle, ISID and Dentsu Digital. As a result, the revenue ratio at CT&T is increasing both in DJ and DI. Increasing our exposure to Customer Transformation & Technology brings a number of benefits to the firm. First, the structural growth area. This is an area where corporates will need to continue to invest given the increasing importance of first-party data to develop and maintain direct customer relationships particularly in light of changing privacy regulations and the removal of third-party cookies. Second, a deeper client relationship, partnering with clients on projects such as data transmission and data solutions, embeds us with fintech business, resulting in a long multiyear relationships leading to a greater percentage of revenues that are recurring. Finally, it will bring transformation to our existing services, Customer Transformation & Technology will enhance media and creative. This will be a new platform of all service lines. DJN today announced collaboration with Dream Incubator Inc. to strengthen business in divisions transformation domain. Dream Incubator will become an equity method affiliate of Dentsu Group Inc. And please go to page 19. As we look forward through 2021 to 2022 and the demand for our services in the coming years, the Dentsu Group remains well positioned. The group is and will continue to benefit from the cyclical recovery in advertising in 2021. We saw early investment in media and advertising from clients in the first quarter as they look to reinvest in their brands. The quickest and easiest way to reengage our customer base is through media. And that is where we have seen the fastest increase in spend, both in Japan and internationally. But the pandemic has also brought a number of changes to consumer trends that will remain, increased digital adoption and the D2C direct-to-consumer channel combined with the increased focus on customer experience across every touch point that consumer engages with a firm. All of this requires an enterprise wise identity and management solution, particularly as brands face and adapt to a cookie less future. This is where our strength in Customer Transformation & Technology can support our clients as we look forward. This is where we see the fastest growth in our firm and where we see structural growth opportunities for the business in the years to come. Page 20, please. In February, when Dentsu Group reported its FY '20 result, we also announced new midterm target for the group for 2021 to 2024. This publicly stated targets aligned to four pillars that remain central to our vision for the business. One, transformation and growth; two, operations and margin; and three, capital allocation and shareholder returns; and four, social impact in ESG. Midterm investment case remains intact. We have committed to organic growth of 3% to 4% from 2022 to 2024 and annual improvement in operating margins, reaching 17% by 2024. And the progressive dividend policy, reaching 35% payout ratio on basic EPS. And our commitment to social impact and ESG remains at the core of our group. And last page, page 21. Our purpose as the Dentsu Group remains to realize a better society by contributing to the growth of our clients, partners and all consumers. By realizing our purpose, we will create value for our employees, our shareholders and all stakeholders. As always, I would like to thank our employees as we look forward to a year of growth and recovery across the business. Thank you very much.
A - Chuya Aoki: Now we will start the Q&A session. [Operator Instructions] So the first question is Nomura Securities, Mr. Nagao. Please un-mute yourself and state your name and your company name and ask your question please.
Yoshitaka Nagao: My first question is operating margin. So in the January-March quarter, operating margin improved significantly. In April-June quarter and onward, how do you foresee the operating margin trend in Japan and Dentsu International? What is your forecast? That is my first question. Next, second question, at the outset, President Yamamoto said the establishment of the joint venture. And these initiatives are now underway Mitsui Sumitomo Financial Group and Toyota Motors. And last year, Kirin Holdings, you've been taking these steps so this format, this joint investment, co-investment, the positive impact, what kind of positive impact do you think this has on Dentsu? And what was the history or the background that led to these moves?
Toshihiro Yamamoto: Thank you very much, Mr. Nagao. So the first question, operating margin and the future forecast, Mr. Soga will explain.
Yushin Soga: Soga speaking. Thank you, Nagao for your question. As you correctly mentioned, operating margin in the first quarter improved significantly. DJN and DI, there are different factors. First, starting from DJN. The variable cost control was successful, and this proved to be successful. As you remember, last year, the work style reform, new style working was implemented among the SaaS. New horizon was a system that was introduced. And I think we are seeing a positive impact from that. On the other hand, DI, our overseas international business, starting from two years ago, cost reduction plan started, which we call ATP. And this is now coming to fruition. From second quarter onward, with the improvement in the economy, the variable costs will increase. As you mentioned, the variable costs will increase we think. On the other hand, DJN first quarter variable cost was reduced. And in addition, going forward, on the -- like the international side, ATP will be implemented at the same level as the international side. And on the DI side, operating margin improvement that we're seeing this time. If you could remember last year, to counter the pandemic, the personnel cost and the variable cost was largely controlled and the result came out in second quarter and onward. So the hurdle is higher, the comparator is tough. As you remember, on the BI side, on a full year basis, operating margin even under COVID-19, 1.5%, 150 basis point improvements was achieved. So there is this comparator factor. On a group-wide basis, the business environment is favorable and ATP -- under ATP, we are pursuing restructuring and this result will come out. So taking all this into account, on a group-wide basis, operating margin improvement is expected year-on-year, but some key countries, performance still has some uncertainties. So the overall business and the operating margin we will clarify when we announce the second quarter results. I hope this answers your question.
Toshihiro Yamamoto: And your second question was the Japan business. The collaboration with the new customers, new clients and how we are collaborating. And the co-investment and the strategic intent. Mr. Igarashi will answer.
Hiroshi Igarashi: Nagao, thank you for your question. This is Igarashi speaking. So this joint investment and our relationship, evolution of our relationship with our clients, the purpose is, first of all, our client customers are now pursuing the business transformation and business growth. They're trying to accelerate the growth, and we are fully committed to that. So first of all, on a CXO level, including CEOS. With CXOs, we are sharing the goal of the strategic transformation and involve and commit ourselves to customers' marketing overall. So it's not just a simple communication area, but overall marketing is where we want to commit ourselves to. Furthermore, this commitment will -- we commit to customers' medium to long-term growth. And so we are trying to strengthen our medium- to long-term relationship, and that is the intent behind these moves other than the capital and business alliance, so we are seconding -- asking to second our personnel to important positions on the client side. So including all these, we are trying to reinforce our relationship with our clients. Thank you. I hope I answered your question.
Yoshitaka Nagao: Just quickly on the second question, could I ask a follow-up question?
Toshihiro Yamamoto: Yes, if you could do this quickly.
Yoshitaka Nagao: Sorry about that. So these joint investment format may face the competition with the consulting firms. But do you think this will lead to the differentiation, you can differentiate yourself by doing this?
Toshihiro Yamamoto: Yes, we are committing to customers' growth, growth above anything else.
Chuya Aoki: Next the question is from Mr. Julian Roch. Please un-mute yourself and start by stating you’re the Company's name and your name.
JulienRoch: It's Julian Roch from Barclay. My first question is for Wendy. You did minus 1% in media for international, while WPP did 5.8 million and publish up to mid-single-digit in the U.S. So why did you underperform in Q1? Is it account losses or something else? If account losses, who are they? And can you quantify them? And my second question for everybody, impact of the end of cookies on Dentsu, bad, good, neutral and why?
Wendy Clark: Julien, it's Wendy. Thank you for the question. Yes, as you noted, we ended the quarter slightly down on media. I think you have to take a bit of a broader view on looking at our trajectory and our recovery based on where we ended fourth quarter last year. And the sequential improvement we have made into first quarter. It is not something that's down to any particular loss we have higher exposure, as you know, into some of the sectors that were more impacted and lower exposure into some of the sectors that were more protected, as we've mentioned before in our previous discussions, particularly around health. And so I think we've just seen a slower recovery. That said, as we look outward, our confidence is quite high. As we can already mentioned that in April, we've seen positive growth at a holistic level for DI of over 17% organic revenue growth. So while we're a beat or two behind our peers, we are just coming out of a tougher starting point. And I think the other thing I would mention, Julian, is that I think we always have to keep in mind, yes, we are restoring growth from a pandemic, but we're also leading this transformation of the business. And I think that, that's -- it's a twofold restructuring of the business. We stand to be as we sort of go through this process, the most integrated agency group network in the world. And so it's -- we're doing a twofold action here that will be in front of our peers on the second piece on this integration front, we're doing it now. And so I'm mindful of that when I talk to our people, particularly. We are very confident in our outlook for the year for Dentsu International. And as I said, we've already seen our sales swing into growth in April. So we're just a beat behind. It's not anything in particular. It's not one account. But we are doing additional and incremental hard work in this transformation. I think that you're just going to see that start to ease as we come into, obviously, better comparables. And feel the benefits of this integration. You heard Yamamoto-san mentioned that we've already optimized 53 brands of the 160. So we feel very positive about where we are and our endpoint will be seismically different and differentiated in the marketplace.
JulienRoch: If I could ask a really quick follow-up before we move to cookies. Thank you very much for giving April. Will it be possible to have April year-on-year last year, so we can have a sense of the 2-year run rate?
Wendy Clark: I think we would just stick to the Q1 discussion right now, Julian. But I just -- I wanted to mention that from a confidence perspective, and we can follow-up with anything in particular if that can be helpful. I don't want to get us off track on Q1 results. I am happy that to kind of bridge into your next question around third-party cookies. The -- obviously, this brings to bear the significant investment we've made around Merkle. And the fact that we've been preparing for the removal of the third-party cookie for some time and so we've got the underlying data and identity platform already in Merkury. You've heard us talk about it endlessly, probably. And so this is a conversation we've been having with our clients for a long time. So our cookie-less platform is already running for our clients. Every conversation, I can say, I'm a part of, it includes first-party data now. And the need, quite frankly, for brands to own this relationship, not platforms, to own the data and the relationship with the consumer. And we see our progressive clients moving into this space and feel like we have the capabilities and platforms to help them accelerate their programs here. So again, not a surprise to us. It's something we've been planning for, is something we feel very well positioned for. And I think, frankly, a positive step in marketing overall.
Hiroshi Igarashi: This Is Igarashi from DJN. For DJN, this type of development is considered positive. We have been making a thorough plan for preparation with the clients and platformers. We are able to respond with our unique solution. So we have been able to prepare ourselves quite well, and there is a definite progress there as well. And also DJN and Dentsu International, this type of solution will link to greater collaboration. So it would be positive for the group overall.
Chuya Aoki: Next question comes from SMBC Nikko Securities, Mr. Maeda, please.
Eiji Maeda: SMBC Nikko, Maeda speaking. I have two questions. Earlier, you said that your key focus is CT&T. And the ratio is improving. Merkle and ISID, Dentsu Digital are the core of this movement. Merkle has been strong in this area. Once again, ISID and Dentsu Digital, how are you -- are you accumulating know how already there? And you are off to a good start. As a background, you are deepening and exploring customers and increasing the number of customers? Or are there any key information that you could share with us, that is driving this forward? And my second question, Merkle program is underway. As of the end of February, you are not holding any share. The buyback, so the share buyback, you have not done it yet as of April.
Hiroshi Igarashi: Maeda-san thank you very much. First is the initiative of CT&T. This is Igara speaking. So CT&T initiatives in Japan, let me explain ISID and Dentsu Digital, what they are doing. Now from the past, ISID and Dentsu Digital had been independently, offering client service in digital solution and building track record independently. But now we are trying to do this in a cross-functional manner, and there are many initiatives that are now cross-functional in nature, Denso Digital, ISID, DentsuInc and Isobar, all these Dentsu Group companies are working together to make inroads into clients. We have this formation now, and this is accelerating this year. Of course, in the communication domain, we have worked with client's business divisions. We've approached client's divisions, but now ISID and Dentsu Digital. The division, so we are working with these different divisions to drive business transformation and building new businesses, and we're seeing more and more examples now. So we're using that as a breakthrough to add more solutions and commit to the entire marketing activities. This activity is expanding. So let me share with you some concrete examples. One platformers, cloud service domain approach, is now accelerating. So this is CT&T and DX, we're seeing more successes in CT&T and DX. So I hope this answers your question.
Yushin Soga: This is Soga speaking. So I will talk about the second question. As you rightly mentioned, our share buyback has not progressed. And the background to that is as mentioned earlier, in January, we announced Shiodome headquarter building sales. We are still discussing, examining this. And this fact is important fact, privileged information. Based on the advice from the law firm that it is privileged information, we take that possibility into account. And so we decided not to do share buyback. Once this becomes clear and once it becomes possible for buyback, we will do so. We plan to do so at any rate, following the plan we announced in February, ¥30 billion will be bought back, repurchased, and this plan remains unchanged.
Chuya Aoki: So next, the person would be Ms. Fiona Orford-Williams.
Fiona Orford-Williams: It's Fiona Orford-Williams from Edison Group. My first question is around margins, but into FY '22. Are you still confident that you can achieve your intended cost reductions? And what leaves -- additional levers do you have to achieve some over the ones that you're using in FY '21? And then my second question is around the brand rationalization progress. You talked about how you'd prepared for that internally. But it's a huge shift. So how do you communicate that with your client to -- client churn? And why does having fewer brands inherently boost the growth potential?
Yushin Soga: This is Soga speaking. I will respond to your first question and jump into the conclusion for 2022. This accelerated transformation program as a result of this program for the group overall going to reach us cost by ¥75 billion. And this -- the schedule target remains unchanged. And this fiscal year, around ¥56 billion of cost will be spent in ATP for the Japanese business, next year, we do intend to book some costs. But for this fiscal year, about ¥50 billion and ¥75 billion for next fiscal year. These were the levels of cost reduction that we intend to achieve. And this plan remains unchanged at this point in time. And additional levers that you spoke of as whether we need to have had those, well, even if we don't have additional levers, we will still execute on this plan to and business transformation or structural reform. And these are not just limited to this fiscal year. We will continue this. And I think this is necessary, we are fully aware of that. And so the current plan remains unchanged. And in order to make ourselves into a more efficient organization, we'll continue to make effort. And that completes my response.
Toshihiro Yamamoto: This is Yamamoto speaking. And Nick will also add a comment. Nick, please go ahead.
Nick Priday: Everybody, it's Nick Priday speaking. So Fiona, in terms of the question, are we confident around delivering our margin goals for 2022, which is a reminder for everybody, was a 15% margin goal for 2022 for the international business. The answer to that is a clear yes. We are confident we can deliver that margin given the line of sight we have to margin delivery in 2021 and the return to growth. And in terms of the other levers, it's just a complement and I'll add to what Sogo-san said, we're obviously looking at our office portfolio across the business. We're obviously also looking at near-shoring and offshoring models, which benefit not only us and our efficiency, but also our clients in terms of lowering the cost of delivery, making us more competitive. We're looking at a number of automation techniques accelerating deployment of automation across our business. We have deployed something like 300-plus software robots in the last three years, saving a significant amount of manual work. And that does really deliver a strong return on investment and provides us not only with improvement in margin, but with our clients with more effective patency partners. So the answer to your question, is a clear, yes, on the margin goal for 2022.
Wendy Clark: Fiona, it's Wendy. I think I'll jump in on your second question, which was around our brand optimization. As we've already announced, we're going to go from about 160 brands to 6 brands by the end of 2022. It's a thoughtful plan. And I think at the heart of your question is, well, can that be disruptive to clients and therefore, revenue. As we mentioned, you heard in Yamamoto-san's opening comments, we've already optimized 53 of those brands. So far, that's ahead of actually 56. It's ahead of our target. So we're on track. He also mentioned that those are -- those tend to be smaller and more specialized. And so there's less risk in that. But he also mentioned our most visible optimization, which came between our prospect and Vizeum earlier this year is the largest agency integration that we've done ever. And I am quite pleased to tell you, and I'm touching wood, you can't see me, but we have had no client attrition from that. I mean the client attrition is not something that we can project or forecast, as you all know and understand, but there was nothing that came outwardly from that integration at this point. And so again, as Yamamoto-san said, these are very well planned and thoughtful transitions. We include our clients in those transitions. We listen to them. And I think, ultimately, I cannot underscore enough the number of clients that I talk to. As we talk about this integrated future, it's exactly what they want. They most need these new and incremental sources of growth, which they know don't come from singular or finite thinking. It comes from expansive and integrated capabilities. They need agility and speed in their business more than ever. And so having a patchwork of agencies, it just slows everything down. And of course, they need efficiency. They've got to reinvest in their top line of their marketing. And so they're looking for efficient models. And this is how we're going to get there is having truly integrated capabilities with radical collaboration of our network. And you see it again and again, and I guess I have the benefit of seeing up close in clients' our work, where you just see the unlocks come very quickly now. And we just couldn't feel more confident about the plan. We'll be the most integrated agency group at the end of this, heading into 2022. And I think that, that also answers your first question, gives us some assurances around the growth and the profitability of our business.
Chuya Aoki: Next question is from Daiwa Securities, Mr. Ishihara.
Taro Ishihara: This is Ishihara from Daiwa Securities. I have two questions. They are both on CT&T. First, CT&T gross margin proportion will be 50%. So 50% of the revenue will come from CT&T in the future. What shortfalls do you think you have in terms of resource? What do you need to capture? People, organization, collaboration or software, what is still in short now? What do you need to achieve 50%? And second question is on CT&T too. So once again, in your headquarter group who will -- which group company drives CT&T in Japan and overseas, which companies are they? Which companies are the drivers?
Toshihiro Yamamoto: Thank you Ishihara-san. So first, Igarashi will answer your question from DJN side.
Hiroshi Igarashi: So what we still lack are not -- are many. Of course we set a very ambitious target. So our people capability, of course, we have to reinforce, strengthen this going forward. And whether we can do this with the internal resource or utilize outsourced -- in external resource, we have to examine both. In CT&T, AX, BX CX , and DX, CX and BX and DX our customer experience and our business transformation and our digital. So we have set these, especially in BX, business development, our development format and manpower and talent is still lacking. And we have the Dream Incubation Capital Alliance. We announced this today. So this is significant in terms of boosting our capability in this area. So he wants to quickly enhance this capability going forward. And let me also answer your second question from DJN ISID and Dentsu Digital. These two companies are the strong compelling driver that will take initiative. And Dentsu Digital has Dentsu Isobar. They merged with Dentsu Isobar and e-commerce, companies are also merged. So we will make them stronger going forward. So that was from DJN point of view from Igarashi.
Wendy Clark: This is Wendy, just to build on a Igarashi's answer for Dentsu Japan, I'll speak to Dentsu International. Look, the is the fastest and most rapidly growing sector of the industry right now. Your projections, if we read all of your analysis point to the fact that this to have double-digit growth in this area before long. And in some cases, we've already experienced that in particular capabilities. So yes, to your point, there is a war on talent here. It's a price capability set. We have to do everything in our power to retain our critical people, and we take that focus very seriously. That's one thing. And of course, are always in the marketplace looking to recruit the talent we need and new leaders in this space. So talent is crucial to the plan. And then I would say M&A is going to be important. We announced, as you know, that we are returning to M&A. We have a very focused M&A strategy, specifically to what we call the international side of the business, CXM within the CT&T space. And that is going to be a crucial part of it. The type of capabilities that we're looking for in M&A, our commerce, obviously, more advanced technology, customer transformation. We also have geographic needs. So we're going to be looking very specifically to fill in some geographic areas that need this capability. And so I think that would be crucial to the delivery, too. But I can reiterate our confidence on the DI side of reaching that 50% revenue target in our midterm plan, as we announced before, by mid-2024, '25 by the mid-'20s. We feel very confident that we've got exactly what we need. And the final piece of your question was that is delivered through Markel on the DI side. So we've got what we need. We need to execute the plan as noted.
Chuya Aoki: Ishihara-san, Yamamoto will like to start answering your second question.
Toshihiro Yamamoto: So CT&T is driven by which company? That was your question. On the international side, Merkle, and DJN side, ISID and Dentsu Digital. But in Japan, the two companies are not working independently. Those two are the center. And we have a group -- cross-functional group-wide organization, centering on these two companies. That is the feature in Japan. And Merkle is not just international, but including Japan, it's also a group-wide CT&T driver. It's a big driver. I hope this answers your question.
Chuya Aoki: Next question. Mr. Rajesh.
Rajesh Panjwani: My name is Rajesh Panjwani, I'm from JPMorgan Asset Management. One of my questions was on the share of CT&T, which that has already been answered. The other question is on the use of the proceeds from sale of Shiodome building. The news report suggested that it is around ¥300 billion, which is almost 30% of the market cap. So it's very sizable sum. How do you plan to use it in terms of shareholder returns, investment in fit further growth, et cetera? Can you give us a rough idea about that?
Yushin Soga: This is Soga speaking. In regards to the sale of the Shiodome building, we are considering this right now. And the objective of this is as part of the comprehensive review. So non-business assets to be disposed so that we can make investment towards our business, that is the key objective, so on cash-on-cash after a sale, irrespective of how much this will be. But the cash flow generated by the asset sale will be spent on business investment as part of the medium-term management plan, we will work on business transformation. And we will achieve business transformation. Through this, the structural -- the reform that we are working on. And CT&T will be brought to 50% of the group's revenue, as we explained before. So for that, we need people. We need technology and business, which is the multiplication of our people and the business. And so we intend to spend the proceeds for M&A. And you also ask about shareholder returns. In regards to shareholder return, we will look at business environment at that time, and we'll take that into consideration. So the proceeds from the sale of the building side has not been realized yet. But of the cash that generated how much portion of that will be used for shareholder return. In this regard, nothing has been decided at this point in time.
Chuya Aoki: Thank you very much, for asking many questions. Time has come. So, we would like to conclude the Q1 2021 earnings announcement call of Dentsu Group. Thank you very much for your participation today.